Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to Payoneer's Second Quarter 2021 Earnings Conference Call. At this time, all lines have been placed on mute to prevent any background noise. Following the speaker's remarks, we will open the lines for your questions. As a reminder, this conference call is being recorded. I'd now like to turn the call over to Ignatius Njoku, Vice President of Relations to begin.
Ignatius Njoku: Thank you. Before we begin, I'd like to remind you that, today's call may contain forward-looking statements. These forward-looking statements are subject to numerous risks and uncertainties, including those set forth in our filings with the SEC and available in the investor relations section of our website, which may cause actual results to differ materially from any forward looking statements we made today. These forward looking statements speak only as of today, and the company does not assume any obligation or intent to update them, except as required by law. In addition, today's call may include non-GAAP measures. These measures should be considered as a supplement to and not as substitute for GAAP financial measures. In most cases, reconciliation to the nearest GAAP measure can be found in today's earnings fresh release, which is available on the company's website. Hosting today's call are Scott Galit, Payoneer's Chief Executive Officer; and Michael Levine, Payoneer's Chief Financial Officer. With that, I'd like to turn the call over to Scott to begin.
Scott Galit: Thanks, Ignatius. Good evening and thank you all for joining us on our first earnings call. Payoneer’s transition in June to a public company was a significant milestone as we continue on our journey to be the world's go-to partner for digital commerce everywhere. I want to thank all of my senior colleagues for making this a reality. I am so proud of everything we have accomplished and the positive impact we have on the world. And I am even more excited to take this next step on our journey together. For today's call, I would like to begin by providing a brief overview of Payoneer, for those who are not as familiar with our story. I will then briefly share some customer highlights, recap our strategy to create long term shareholder value and discuss our second quarter results. Payoneer is unique global payment and commerce enabling platform that powers growth for digital businesses all over the world. We've built an amazing scale platform that makes global commerce local for millions of customers by leveraging several unique capabilities we've developed as a market leader over the past 15 plus years. Our core value proposition even from the beginning was global coverage and conductivity with localized capabilities. Connect once to Payoneer and get the whole world. We are able to move money around the world instantly for our customers in a trusted compliant way. Making it as easy to pay or get paid globally as it is locally, whether it be marketplace payments or B2B accounts payable, accounts receivable payments, which we call B2B APAR, which are payments directly between buyers and suppliers. There are powerful network effects in our business. We connect marketplaces and sellers, buyers and suppliers, creating a virtuous cycle where more suppliers bring more buyers and more buyers bring more suppliers. We are trusted worldwide by global banks, leading marketplaces and millions of small businesses supporting more than 7,000 trade corridors and customers from more than 190 countries. Our customers and partners range from nine of the 20 largest companies in the world by market cap to some of the smallest businesses in the most remote emerging markets. We are a high-tech high-touch business with modern API's, mobile and machine learning infrastructure, a broad product suite and also a global team that works closely and locally with customers all focused on helping our customers grow. And we've built on our platform, a growing set of services for our customers and partners who can manage the whole world through a single global multi-currency Payoneer account, which gives them access to local payments and local currency around the world. And also access to a broad suite of tools to support their growth, like MasterCard Virtual Commercial Cards to pay their suppliers; working capital to invest in their business; green channels, which connects them to new sales channels; tax solutions and more. And our compliance capabilities are real competitive strength and differentiator. We have made significant investments in our compliance and risk infrastructure to ensure that we are a leader in this area, and stay compliant with all regulations in the countries in which we operate. To underscore the strength of our capabilities and compliance, and the trust our customers place in us, we often win deals because of the strength of our compliance program. This is all built upon our trusted recognized global brands, which is what connects it all together. Our brand creates tangible financial value through low cost customer acquisition demonstrated by the more than 300,000 new applications we receive each month and our strong volume retention. Our platform really comes to life through our customers. Both small businesses and marketplace platforms continue to find tremendous value partnering with Payoneer. Let me walk you through a few customer stories from the second quarter of 2021 to help illustrate the unique value Payoneer provides and highlight some of the strong momentum we're building in the market. Omnisend, a provider of ecommerce email marketing and SMS automation based in the UK, highlights our unique value proposition for small businesses. To support Omnisend’s diverse global collection and accounts payable needs, they were working with multiple European new banks. Omnisend switched to Payoneer to use our global multi-currency account and access our superior global payment capabilities and our broad suite of product offerings including our new MasterCard Virtual Commercial Cards. They are now able to use Payoneer to get paid from around the world and also to pay suppliers, advertisers and affiliates that are located across various geographies. CCRecord based in the UAE is a digital music label and channel on popular music streaming platforms with over 10 million subscribers. CCRecord is using Payoneer to receive music royalty payments, and to pay over 150 artists around the globe. In addition, they also recently started to use Payoneer’s new MasterCard Virtual Commercial Card to purchase advertising across social media platforms. We are excited to continue to provide new value added services to help CCRecord grow their global business. I'm also happy to report that we have recently partnered with Bukalapak, an Indonesia based ecommerce unicorn and leading marketplace with 100 plus million customers and 13.5 million sellers on its platform. Bukalapak has raised a $1.5 billion to be the largest IPO in Indonesia. As their very first mass payout partner, Payoneer is facilitating Bukalapak’s international expansion. They chose us because we're uniquely positioned in the market, offering capabilities to enable seamless and secure payment solutions for their overseas sellers in greater Southeast Asia and beyond. These customers highlight the exciting momentum for digital commerce all over the world and the unique value Payoneer was able to bring to our customers as we help them build and grow their global businesses. And what's most exciting is that we're just getting started, really just scratching the surface of our opportunity. We have a compelling growth strategy with four key drivers of long term growth. First, we look to leverage our strong market momentum and scale to grow marketplace ecosystems and B2B AP/AR. We expect marketplace ecosystems to continue to demonstrate robust growth. We believe we are still in the early days of marketplace commerce, which is estimated to already be 63% of ecommerce overall its a global and growing and we have a strong market position with those marketplaces, and marketplace sellers. And our B2B AP/AR offering has accelerated at scale, with volume growing much faster than our business overall. And we see opportunities to continue to grow at a rapid rate for years to come. B2B AP/AR is now big enough that it starts to contribute to our overall growth rate. And it has also proven out our ability to upsell our customers and drive scale for new services. Second, we see big opportunities to expand the Payoneer your platform ecosystem. As a global platform we are engaging with a wide range of integrated partners, banks, mobile wallets, tax providers and much more. Our Payoneer for banks offering for example has many exciting opportunities that create value for our customers, for our bank partners and for Payoneer and to reinforce the network effects in our business.  Third, we are actively investing in new services. Merchant Services, working capital and our MasterCard, virtual commercial card are big market opportunities. And we have meaningful structural advantages without relationships, data and global footprint. These will not be material contributors to growth in the near term. In fact, they will consume investment. But over the medium to long term we see opportunities for accelerating growth and scale contribution from these new services. Which takes us to the fourth growth driver, our M&A strategy. In 2020, we acquired a optile to catalyze the launch of our merchant services business. This was a very strategic acquisition. We went on a global search for a specific type of merchant services platform and a team that we could build around and optile was the best target we found and a great fit culturally. We see many opportunities to accelerate our ability to deliver more value to existing and new customers in more places. By expanding our M&A efforts going forward. We see almost unlimited opportunities to expand our capabilities in ecommerce enablement, B2B payments, working capital and global merchant services to name a few, as well as deepen our presence in emerging markets. One area that isn't part of our strategy is processing high risk transactions. So, I would like to briefly address some questions we're hearing related to this. We used to support high risk business, which started before Michael and I joined Payoneer. We made the decision years ago to exit that business and we no longer support it and haven't for quite some time. We have no plans to get back into it, period. As I think you can tell, we're very excited about our business and our future. We believe we are uniquely positioned to accelerate the growth of digital commerce all over the world for years to come and deliver compelling financial results. Now let's turn to our financial results for the second quarter. This quarter we delivered a record $111 million in revenue, up 42% year-over-year and well ahead of our internal targets. We processed $13.6 billion in volume in the quarter, representing year-over-year growth of 29%. When looking at the two-year volume growth rate between 2019 and 2021, we achieved a 45% compounded annual growth rate, consistent with the two-year CAGR from the first quarter. Our take rate was strong at 82 basis points, an increase from 75 basis points from the second quarter a year ago. Transaction costs were 26% of revenues, an improvement from 30% of revenues in the second quarter of 2020, as we continue to demonstrate the ability to drive increasing efficiency and incremental profitability from our transactions. We also delivered positive adjusted EBITDA for the second quarter, bolstered by our strong revenue growth and improved transaction costs, despite our increased investments. This quarter, we continue to execute well across the business as we pursue our huge market opportunity. Our strong revenues and momentum reinforces our commitment to our growth strategy and accelerating investments in the business and will drive sustained revenue growth of 20%-plus well into the future. While these investments will impact near term profitability, our scale, operating leverage and highly efficient marketing, position us to achieve long-term profitability and ultimately generate adjusted EBITDA margin of 20%-plus. Finally, our strong momentum gives us confidence to raise our full year guidance for revenue and adjusted EBITDA, and Michael will provide further details on our financial guidance in just a few minutes. Next, I want to provide some insight into the macro environment we are seeing and how it impacts our business. We executed very well this quarter with record new customer additions, improving takeaway and strong profitability metrics. And while we still see strong demand and a long road ahead for digitalization trends globally, our volume was lighter than we expected for the second quarter. As always, we operate in a broader market context and our performance is impacted by market forces and COVID continues to impact short-term performance. First, while we are excited about the reopening occurring across the US and in multiple places around the globe, we have seen the impact of the shift in consumer buying behavior, causing slowing growth in e-commerce compared to the growth we saw in the peak of the pandemic. We continue to see strong two-year growth trends indicating the continued momentum of digital commerce. But a number of our partners and customers are experiencing slower growth trends compared to the very tough comps from 2020. In addition, global logistics is facing challenges with the cost of containers up substantially, with longer container turnaround times and intense competition for containers. While this has created some additional near term headwinds, we do not expect this will have a meaningful long-term impact. In Europe, there has been the introduction of new VAT requirements that require VAT to be paid by marketplaces, prior to dispersing funds to cross-border sellers, and international travel trends also remain soft. And we now don't expect this trend to improve through the remainder of 2021. As a result of these factors, we are lowering our volume guidance for the year. The diversification of our business, strong execution and positive take rate trends more than offset the lower volume, enabling us to increase our revenue guidance. We are monitoring all these trends and recognize that COVID continues to create short-term uncertainty. Now I'd like to walk through some of the operational highlights for the quarter that demonstrate the strength and momentum we are seeing in the business. We added a record number of new customers in the quarter. In addition, our customers remain loyal to the Payoneer platform as we continue to achieve net volume retention of more than 100% and with a payback period of less than 12 months. Earlier this year, we announced a strategic partnership with eBay, which we started to onboard in the second quarter, while we are still in the early stages of our relationship, our partnership is progressing well as we are ramping the onboarding of eBay sellers on our platform. Our B2B APR service continues to perform ahead of our expectations and is growing well-faster than the business overall. Our newer services also all have strong performance with working capital, merchant services and our MasterCard Virtual commercial card all exceeding our targets for the first half of the year. While we are still early, we believe these services represent compelling value for our customers and exciting growth opportunities for Payoneer. We are actively investing in our product offering in all of these areas. I want to highlight a few product introductions from the second quarter, which include introducing a cash back rewards program for our MasterCard Virtual commercial card, expanding our working capital program to Mexican pesos and Canadian dollars for e-commerce merchants, offering new and improved KYC services for enterprises, and launching an artificial intelligence based platform to detect fraudulent documents as part of our efforts to improve customer experience by introducing scalable automation. These are just a few of the exciting new services and enhancements we recently introduced for our customers. Finally, we continue to invest in people. And we are thrilled to have recently added new leadership talent like Ya Wen, who joined us from Amazon to be Vice President of Enterprise, Americas, and Robert Clarkson joined us as Chief Revenue Officer to lead our global go-to-market activities, bringing relevant industry knowledge and leadership experience from leading companies like PayPal, and American Express. To conclude, I am incredibly proud of our execution this quarter. While we see broader market forces impacting volume trends in the short-term, we are increasing our guidance for revenues and adjusted EBITDA due to the strength of the Payoneer business. And we remain focused on the compelling long-term growth opportunity in digital commerce globally, which is size in the tens of trillions of dollars, and will enable us to sustain strong revenue growth trends well into the future. We are leveraging our global brands expanding on our broad ecosystem of small businesses, marketplaces and partners. And we're going to continue investing in our industry leading infrastructure and product platform, while further enhancing our deep risk management and compliance capabilities. We were built for the modern interconnected global digital economy and our competitive advantages are meaningful and this is why we continue to win in the market. Before I turn the call over to Michael, I want to again thank everyone who has contributed to our success, our customers, our partners, our investors and our employees. We wouldn't be here today, without your tireless efforts and dedication. So thank you all, very much.
Michael Levine: Thank you, Scott. Given this is our first earnings call I want to briefly discuss our financial models for review our second quarter results in detail. And provide updated guidance for the full year 2021. Our revenue models primarily driven, by our ability to grow volume and optimize take rate, volume is counted only once, when funds arrive on or pass through our platform. And take rate is a measurement of revenue, as percent of volume in a given period. The majority of our revenue is generated funds are withdrawn from the platform to customers bank account, or when used to send a payment off the platform. The majority of our revenues are from [Indiscernible] transaction fees, which in most but not all cases, are borne by the customer getting paid. Revenue Growth is generated by increasing volumes, increasing take rate, or a combination of both. We have a number of customer types and product categories with varying take rates. And the weighting of each can influence the overall blended take rate. Adding more services and products that leverage existing volumes such as, working capital products and our MasterCard commercial card offerings, has had a positive impact on our take rate. Additionally, we have introduced non-volume related offerings, such as, value added compliance services for enterprise clients that further enhance our take rate. Transaction costs, mainly consisted fees pay to banks processors, and networks that process payments to and from the Payoneer platform. Over the years, we've built a global banking infrastructure, the scale of which gives us an advantage in our ability to reduce our underlying transaction costs. We manage our business with long-term profitable growth in mind. And continue to acquire customers, in an efficient manner. We believe that our customers will need additional products and services as they grow, which puts us in a favorable position to leverage our unique platform, brand, global reach, to support their growth and increase their lifetime value. We are aggressively investing in our platform to expand our product suite and strengthen our capabilities, to be either partner of choice for our customers and partners in digital economy. With that background, let's take a closer look at our second quarter results. As Scott mentioned, we are very pleased with our performance and our ability to deliver strong financial results for the full year 2021. Revenues in the second quarter were $110.9 million, up 42% year-over-year, driven by solid volume growth and a higher take rate. Volume increased 29% year-over-year to $13.6 billion. And looking at a two year compounded growth rate between second quarter 2019, and second quarter 2021, our volume grew 45% annually, consistent with first quarter growth, representing stable quarterly growth this year and compared to pre-pandemic time periods. We continue to benefit from secular ecommerce trends and continued growth from new and existing customers albeit the volume in the quarter was lower, than our expectations, due to the factors Scott described earlier. That has an impact in e-commerce and international travel. Blended take rates for the quarter was 82 basis points, up from 75 basis points in Q1 of this year, as well as up from 75 basis points in Q2 of last year. The increase in take rate was driven by growth in higher take rate, parts of our business, such as B2B APAR, Mastercard, commercial card, and working capital and slower growth in lower take rate businesses, such as domestic payouts. Additionally, the growth of non-volume based value-added services continue to help increase our overall take rate. Transaction costs were $28.5 million, representing 25.7% of revenues, a significant improvement compared to last year second quarter of 30.3%, which reflects the company's ability to benefit from improved operating leverage as we scale. In Q2, we increased our provision for capital advance losses due to increased losses in reserves as a result of market conditions we're singing eCommerce As a result of our second quarter revenue growth and active management of transaction costs, revenues less transaction costs improved at $82.4 million, an increase of 51% year-over-year, representing 74.3% of revenues, up approximately 460 basis points from the same period one year ago. Turning to the remainder of our operating expenses. We continue to make investments to expand our platform's capabilities and resiliency, build new products, functionality, accelerate customer acquisition and develop new automation that allows us to scale faster and reduce the need for adding manual labor. We incurred $12 million one-time costs in the second quarter. These one-time costs include deal related costs, equity based compensation adjustments, and other non-recurring adjustments. We incurred total equity based compensation expenses of $11 million in the quarter, of which $5 million were one-time adjustments triggered by the transaction with FTAC Olympus. Labor, labor related and consultants expenses were the largest component for the operating expense increase, excluding transaction costs. We hired personnel in our R&D and product teams to grow our platform and expand our product offerings. We continue to grow our global sales and account management teams to support our go-to-market strategies. Additionally, we have bought on additional support for onboarding a record number of new customers. Total operating expenses, including transaction costs were $129.3 million, up 54% from $84.1 million in a year-ago period. Adjusting for one-time expenses, total operating expenses were $117.4 million, up 40% from one year ago. Operating loss was $18.4 million, as compared to a loss of $5.7 million in the prior year period. Net loss of $12.4 million or a loss of $0.63 per share, based on weighted average shares outstanding of 66.7 million shares. Note that the average shares at Q2 will be significantly different from the end of period shares outstanding, given the transaction with FTAC Olympus and Payoneer is completed on June 25. To calculate fully diluted shares outstanding, please visit our industrial website, where we have a slide detailing a share count. Adjusted EBITDA, the calculation of which is detailed in table two of our press release was $674,000, as compared to $1.4 million in the second quarter last year. This reflects the increased investment in OpEx that we've already discussed. Turning our attention to the balance sheet. Our cash and cash equivalents were $498.7 million, as of the end of Q2. This reflects approximately $389 million net proceeds from the completion of our transaction with FTAC Olympus. We repaid all of our bank debt, and have no outstanding bank debt as of the end of the second quarter. Lastly, we recognize the Series 1 preferred stock as a liability. After we determined that we would redeem the shares after the quarter end. In July of 2021 we retired the Series 1shares for approximately $40 million. Turning now to our guidance, given our strong first half performance, we are updating our full-year 2021 guidance as follows. We expect revenue in the range of $442 million to $448 million, representing year-over-year growth between 28% and 30% up from our original guidance of $432 million, which reflected 25% year-over-year growth. We expected volume in the range of $57 billion to $60 billion, $58.5 billion at the midpoint or expected year-over-year growth between 28% to 35%. Our volume outlook is based on the following assumptions, Scott discussed earlier, we are projecting moderate growth in ecommerce in the third quarter and global supply chain logistics issues will need time to be resolved. And the reopening in the US and Europe has led to change in consumer behavior. We expect to see improving growth as we get into the holiday season. Additionally, we are projecting the travel vertical will not show significant recovery for international travel this year due to the ongoing concerns related to COVID. We project our take rate will improve to approximately 76 basis points in 2021 at the midpoint compared to previous guidance of 58 basis points. Our take rate assumption is based on a continued simple mix of customers and higher take rate business, as well as from revenues from non-value based value added services. We do expect the debt and take rates in Q4 as a result of annual seasonality related to a larger waiting to eCommerce during the holiday season. As eCommerce has a lower take rate than the business overall. We expect transaction costs to be in a range of $112 million to $113 million, approximately 25.3% revenues and an improvement from previous guidance of $121 million, which was 28% of revenues. Revenue less transaction costs is expected to be $330 million to $335 million, representing growth of approximately 33% to 35% year-over-year representing approximately 74.7% of revenues. We've projected adjusted EBITDA in the range of $1 million to $3 million. We had previously shared guidance that we expected to run at an adjusted EBITDA loss in 2021, while investing significantly growing up by formerly making other investments. As a result of our strong first half performance, we will be able to increase our investments and still generate positive adjusted EBITDA. While we will not be providing normal quarterly guidance, I would remind you that we tend to have some seasonality, with stronger growth in the fourth quarter compared to the third quarter. In summarize, we remain incredibly excited that our business and the impact we can make on the world. And we continue to help businesses everywhere and anywhere grow and thrive. We're also excited to be a public company and to share our story with the market so that investors can understand the unique positioning of our platform, the brand, the people and the universe of opportunities in front of us. We are now happy to answer any questions you may have. Operator, please open the line.
Operator: Certainly [Operator Instructions] The first question on the line of Sanjay Sakhrani with KWB. You may proceed.
Sanjay Sakhrani: Thanks and congrats on your first quarter out of the gate. I guess Scott, you went through a laundry list of some of the impacts that impact -- that negatively impacted you this quarter. Maybe you can just talk about which one of those you think might have the potential to come back sooner than the others? And then as far as the take rate is concerned, maybe just talk about what the underlying assumptions are that you continue to see the strength and that take right? Thanks.
Scott Galit: Great, thanks so much, Sanjay. So, first, in terms of the trends that we've been seeing that have made us a little bit more cautious on volume. Really the potential for e-commerce to rebound faster at this point, and frankly, seems more likely than a significant surge in international travel, for example. So, what we're continuing to see is kind of the changes in evolution of consumer behavior, obviously going into COVID and now, I wouldn't say we're out of COVID. But obviously, as things evolve, we're seeing people spending their time on different types of activities. And we've seen reports on that from a variety of different companies in the market that have -- that we work with, that have reported earnings so far. So, I think there -- again, all of our underlying trends are positive, we're seeing more customers sign up than ever and more new customers than we ever had in the quarter. We're just seeing again, kind of, fairly broadly across the board, a bit of a softening there versus what we saw a year ago with a really strong COVID trends. So, again, to your trends are really strong as Mike and I touched on 45% to your taggers. We continue to believe that long-term digital commerce is really the place to be, so we've remained really, really bullish and enthusiastic. The demand among customers and prospects around the world to participate in digital commerce has never been stronger. But again, there certainly is a little bit more choppiness in the near-term as we see, again, some of these kind of unprecedented moves in and out of COVID. Travel, again, at this point, we are senses that domestic travel has rebounded quite a bit. But not surprisingly, that's not really where we focus and travel and international travel has certainly been a laggard. And again, at this point with the trends that we're seeing, we are staying cautious on that through the rest of the year, and not actually anticipating, or guidance to any improvement from what we've been seeing so far. In terms of the take rates, I think -- and we talked about this about some of the take rate moves that we saw in 2020. And there really are two important components to take rate change that we're seeing. So first is mix, and some of the -- we're kind of seeing a little bit of the flip side are some of the mix impacts that we saw last year, which we talked about having a meaningful effect. And an example of that was in 2020, the rapid growth of some domestic e-commerce volumes at much lower take rates. And now we're seeing a little bit of the flip side of that recorded growing slower, and again, the importance of talking about that is mix is we've seen good pricing stability for quite some time. So the importance of mix is, we have integrity within the pricing in each of our -- each of the parts of our business. And so as we see the mix shift in my group the take rate around a bit here or there, but ultimately, it's all contributing positively to our growth and to our profitability. The second part is take rate, which I think is what gives us more confidence is the kind of a purposeful focus that we have and the execution that we have on take rate of accretive parts of our business. So B2B is growing faster than the rest of the business overall, and as we talked about that the higher take rate part of the business. Working capital that we continue to invest in, drives incremental take rate, and the commercial car that we've been introducing and ramping up is also at a much higher take rate. So, there are investments that we're making in parts of the business that are intended to actually drive incremental value out of the volume coming through the platform. And we're executing well on those.
Operator: Thank you, Mr. Sakhrani. The next question is from the line of Josh Siegler with Cantor Fitzgerald. You may proceed.
Josh Siegler: Hi. Good evening. Thanks for taking my call. First one, it looks like your concentration in China declined sequentially. Can you elaborate a little on some of the drivers of this diversification?
Scott Galit: Yes, sure. And hi, Josh. So it's -- in general, we -- we've had -- generally, we've had trends overall with a diversification around the business and growth, actually, outside of China has been even stronger than growth in our customer base that comes from China. And some of that will go along with e-commerce. And so when e-commerce is really strong, you will see potentially a little bit of a hiccup there, or less of a gradual decline. But when e-commerce is maybe showing a little bit of weakness the way it did, this quarter and what we're kind of guided into looking forward a little bit here. That will -- that means that other parts of the business are growing faster relative to e-commerce and that will skew us away from China in terms of the mix of the business geographically.
Josh Siegler: Got it. Thanks.
Michael Levine: And hey, Josh, it’s Michael -- Josh, it’s Michael. I’ll just add, if you look at No. 2, you'll be able to see the breakout in 10-Q, and footnote 2 will have the obviously the breakout probably looked at. You'll see we went from 39% last year down to 34%. In this quarter for China, but US grew from 8% to 12%. Part of that and another thing that has helped us continue to grow, in addition to things which got mentioned is that, we are adding services that are non-volume based value added services, like -- related to compliance and other areas where we can help our enterprise customers, and that has grown, not materially, but has helped. So that also continues to contribute to the diversification from a geographic standpoint.
Josh Siegler: Got it. Thank you. That's some helpful color. Can you also talk a little bit more about the current M&A pipeline? How are you guys feeling about valuations in the market right now?
Scott Galit: Everything's cheap. No, I mean, look, it's interesting. I mean, we're -- we obviously are seeing certain areas where price expectations are quite high. And we're also seeing other areas where we actually are seeing really good opportunities. We have the benefit of having a pretty broad and diverse business in terms of geography and also in terms of the services that we either offer or looking to offer. And it cuts across a pretty wide spectrum. And, also, I mean, keep in mind that there's been so -- there have been so many startups that have been funded, while you're seeing some breakouts and you're seeing a lot of big funding rounds with companies that are kind of breaking through. There are lots of companies that actually aren't getting the same kind of breakthrough and traction the same way. So when we are looking, we are looking at a range of different companies as targets, some of them are larger. But we're also looking at really strong tuck-ins that can bring terrific functionality that we're actually expecting that our global customer base and distribution capabilities can really bring a lot of value. So on average, we certainly are seeing things be a bit more expensive than they were, but we're also seeing pockets of opportunity out there. And overall, I'd say, we're pretty upbeat about the opportunities ahead.
Josh Siegler: That's great to hear. Thanks for taking my questions.
Scott Galit: Yes. Thank you.
Operator: Thanks, Mr. Siegler. The next question is from the line of Mayank Tandon with Needham. You may proceed.
Mayank Tandon: Thank you. Good evening. Congrats, Scott and Michael, on your first quarter as a public company. I wanted to start with just, Scott, how do you think about growth going forward between new customers versus increased penetration of the existing base? With all the additional services that you called out, what are the projects we're going to look like, over time, not near term, but really, over a multi-year period, between new customer growth and the landing expand, if I can call it?
Scott Galit: Great and thanks, Mayank. Its great to talk to you again. So the great thing right now is that we're really kind of firing on all cylinders there. We are, in a position right now, where we're getting really strong, new application volumes of customers signing up. We're seeing, as we touched on a record number of new customers and so we continue to have strong momentum in the market, and continuing to see more and more opportunities. And at the same time, we're getting more sophisticated in terms of our global sales teams and our ability to actually engage our customers and grow the portfolio of services that we're offering to our existing customers. So, in practice, as we talked about for a while, I mean, we've been around for a while, I mean, we've been around for a while. And we've talked about the cohorts that we build and how each cohort builds upon the previous models. And so, those positive volume retention trends and our ability to continue to kind of steepen those curves, certainly gives us a big opportunity to drive a lot of leverage through the existing customer base. And that will continue to be a really, really important driver of growth. But again, right now, part of what's exciting is, we're just seeing so much interest all over the world, in our platform and in digital commerce, that we think, that we still have a long way to go here with new customer acquisition as an important driver as well. So, really again, we're executing well on both fronts, and I actually expect that that will continue to be an important thing for us over the next couple of years.
Mayank Tandon: That’s helpful. And then as a quick follow up, Michael, you talked about the transaction losses coming down, and you've been able to manage that very effectively. Could you just give us a little bit more details into what is driving that? How sustainable is that? Now, should we think about that modeling going forward in terms of transactional losses?
Michael Levine: Yeah, I think when you say transaction losses, you mean transaction costs.
Mayank Tandon: Right. Sorry?
Scott Galit: Yes. Bringing up a really critical element of our entire business model, and something we spoken about, as a core part of thinking about how our model works, which is that that, basically variable expense is really a key, if you look at revenues less that those transaction costs, and those transaction costs go up, that inverse of revenue, less transaction costs becomes a metric effectively to look at the variable profitability of the business, right. So their costs come down, that profitability goes up. And what we've always explained is for us, when we look internally, that's really the heartbeat of the business. And as we were able to consistently keep that margin, not only hide, but continuing to keep it in the higher range, it gives us more flexibility to invest in the business or eventually to pull out in profitability. So we look at that effective KPI of revenue, less transaction costs, as a way to measure the variable profitability of the business to see how we're improving over time. And so it's been really strong, when you adjust out actually, and sort of normalize, and look at first quarter and second quarter, in terms of variable profitability, you would actually see that there was a lot of consistency between first quarter and second quarter, because in the first quarter, we had that 400 basis points that you'd probably take out of the -- maybe the other way, you'd add one or two points to the transaction costs, related to one time benefits we got from the MasterCard deal. And in this quarter, again for our approach to managing risk, we increased our reserves for our working capital, business and capital advanced business. And if you were to adjust that, sort of to a normal level, you would see that we actually, on that normalized basis, performed really well from that variable profitability analysis. So, what's driving it ultimately is continued efficiency and business mix really are the two main drivers of that.
Mayank Tandon: I appreciate that. Thank you so much.
Operator: Thank you, Mr. Mayank. The next question is from the line of Mike Grondahl with Northland Securities. You may proceed.
Mike Grondahl: Hey, thanks, guys. I guess on the B2B side, or even the service provider vertical, can you give us a little bit more sense, if their growth rates have continued how that shook out? And then, maybe just with your marketing strategy and customer acquisition, have you tweaked anything there anything new there to call out?
Scott Galit: Great. Hi Mike. So on B2B, B2B continues to grow quite a bit faster than the business overall and continues to actually perform ahead of even our internal expectations. And we really just continue to see tremendous opportunities there. So that continues to be a bright spot. In the service provider vertical, I would say, we've seen, that the a bit more resilient then e-commerce, and again, part of what gets so interesting is the timing of some of these year-over-year tough comps. Actually, you start to get into some real nuance, when you look at what kind of services, when last year. So maybe not surprisingly, some of the e-commerce volumes started to grow a bit faster last year, than some of the platforms that support remote work or some digital services, which kind of picked up, as we went a little bit further into the summer last year. So -- but I would say, and again, if you take a look at some of the other companies that have reported in the services space, you get a sense that they are also seeing a little bit of softness as well, reporting some of the same kinds of trends, that some of the e-commerce platforms are talking about. Things around people, things have been opening up, people spending more time out, going on vacations, than sitting at home and working in generating income and fees from services. So, overall, continuing to see strengths. And the two year growth trends are really strong. And, again, we think the overall the growth of more flexible work arrangements, and third-party service providers, and freelancing overall will continue to be very, very strong. But even there continue to be reports and an indications that there are some just some tough year-over-year comps, and some short-term trends that are maybe creating again a little bit of softness there. B2B, I think the again, right now we've so far, in general continue to grow through some of the logistics issues and other things that are out there. But that created some headwinds overall. And again, I think we're so small in such a big pool of opportunity there, that so far it hasn't impacted at all that much. In terms of customer acquisition, it's really, doing more of the same plus a couple of important things. I mean, one, we have been looking to increase our sales teams in the field, as we continue to see more-and-more opportunities around B2B. And with larger customers within that kind of small-and-medium sized business category. Second, we are actually seeing a lot of exciting opportunities in our banks partnerships area, and we have seen some accelerating momentum with some partners in some markets. We've got a good pipeline, and we have a lot of things that we're excited about there. And what started as being a little bit more emphasizing kind of additional value add for existing customers. We've actually seen our partners accelerating their investments and driving new customer acquisition. And that actually has been really positive as well. So overall, amplifying most of what we were already doing, and adding a bit more around partnerships, where we think we can actually drive a lot of incremental opportunities for partners and for us and our customers along the way.
Mike Grondahl: Got it. Thank you.
Scott Galit: Yeah. Thanks, Mike.
Operator: Thank you. Mr. Grondahl. The next question is from the line of Bob Napoli with William Blair. You may proceed.
Bob Napoli: Hey, Scott and Michael. Good afternoon.
Scott Galit: Hey, Bob.
Bob Napoli: So, I guess, just on the -- so your volume guide, $57 billion to $60 billion is about in line with where we had forecasted. I did say in the first half of the year, you're at about $27 billion. What would cause you to be at the low-end and are you expecting based on some of your commentary to be at the low-end of that of that range? What would cause you to be at the low-end or to missed that range or will entice you to be at the high-end?
Scott Galit: Yeah. So I'll start and obviously Michael can amplify on some of this. But on the low-ends, it would take us seeing kind of increasing softness in eCommerce from where we've been and really looking at trends, essentially, continuing to soften. And on the positive side, if we take one of the few different things, just continuing to perform more the way we expect with eCommerce, staying solid, not extraordinary or anything and continued positive trends and other parts of the business. I think the one thing that again, we've -- in general, I think we try to be on the more conservative side and we certainly with travel are trying to make sure that we really have kept that pretty cautious in the way we've looked at the rest of the year. But outside of that, again, I mean, the trends are just down a bit from what we have actually seen an expected and -- but overall, we feel good about the range and good about how our performance in that.
Bob Napoli: So what is -- how much of the change -- was there -- what percentage of eCom is your business? And what was the change in growth rates for eCom?
Scott Galit: eCom…
Bob Napoli: I'm sorry, can you hear me?
Scott Galit: Yeah. Bob, can you hear me?
Bob Napoli: Yes.
Scott Galit: Okay. Yeah, hi. eComm, what we've shared before of eComm is directionally about half of the business. We haven't broken out specific growth rates overall. So that's not something that we have shared. But again, given the percentage that represents of the business overall, you can obviously pretty easy to get a sense of how -- if the trends are slowing a bit there, how it has a meaningful impact on the overall volumes that we report.
Bob Napoli: And then, just as you have a guidance out there for 2022 and for top line growth of 20%, at least 20%. How do you feel about that being able to hit that target, that revenue growth target in the 2022? And you're actually doing better from the profitability side? What do you -- what are your thoughts on investing versus reporting a little better bottom line result?
Scott Galit: Yeah. I was just going to say, in general, we remain very, very upbeat about digital commerce overall, the big broad macro trends and themes around our business and around our customers and around the opportunities haven't changed at all. And we really are very, very upbeat and enthusiastic about that. And we are continuing to feel very, very positive about those opportunities, our specific market position, the execution that we have and our ability to drive increasing revenue growth and an increasing take rate, and very much looking forward to making more investments and helping more businesses around the world actually capitalize on opportunities in digital commerce. So, we feel really good about the long-term growth trends and the numbers that we've shared about our long-term growth rates and our long-term EBITDA targets and we're absolutely continuing to invest that as the strength in the business and the strength in the P&L. And, the short-term volume considerations coming from some of the short-term macro trends in the market, we don't think actually impacts that at all.
Bob Napoli: Thank you. Appreciate it.
Michael Levine: Yeah. Bob, I’ll just add that, we have a great first half. We're really happy with the results. We think we're in a really strong position, no different than when we spoke at the beginning of the year, we think that our platform gives us a distinct advantage. We think now is the time to accelerate our investment. So we're pressing on the gas harder than ever. We think that there's tremendous growth opportunity in the future, and we're executing on it now. So, I think the first half results show that we've had back-back really strong quarters. And again, given some of the things we're flagging in the market, which now you're seeing across with other companies that are reporting that we're seeing as well, we're still raising our guidance with confidence that we can increase our revenue growth from what was prior guidance to 25% raising that to 28% to 30% growth for this year. And we'll continue to work hard to execute on that.
Bob Napoli: Great. Thank you. I really appreciate the commentary.
Scott Galit: Thanks.
Operator: Thank you, Mr. Nepali. There are no additional questions waiting at this time. I would like to pass it back to the management team for any closing remarks.
Scott Galit: Now, I thank you all for joining and for all the good questions and all of your time and attention. So we really appreciate it, and really appreciate the engagement and look forward to continuing our discussions. So, thank you all so much and we'll talk to you sometime soon. Thanks.
Operator: That concludes the Payoneer’s second quarter 2021 earnings conference call. I hope you all enjoy the rest of your day.